Operator: Good day, and welcome to the Hawaiian Electric Fourth Quarter 2018 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Julie Smolinski, Director of Investor Relations. Please go ahead.
Julie Smolinski: Thank you, and welcome to Hawaiian Electric Industries Fourth Quarter and Full Year 2018 Earnings Conference Call. Joining me today are Connie Lau, HEI President and Chief Executive Officer and Chairman of the Boards of Hawaiian Electric Company and American Savings Bank; Greg Hazelton, HEI Executive Vice President and Chief Financial Officer; Alan Oshima, Hawaiian Electric Company, President and Chief Executive Officer; Rich Wacker, American Savings Bank's President and Chief Executive Officer; and Scott Valentino, Pacific Current President along with other members of senior management. Connie will provide an overview followed by Greg, who will update you on Hawaii's economy, our results for the fourth quarter and full year, and our outlook for 2019. Then we will conclude with questions-and-answers. During today's call, we will be using non-GAAP financial measures to describe our operating performance. Our press release and webcast presentation are posted on HEI's Investor Relations website and continue reconciliations of these measures to equivalent GAAP measures. Forward -looking statements will also be made on today's call. Factors that could cause actual results to differ materially from expectations can be found in our website webcast slides or filings with the SEC and on the HEI website. I will now ask our CEO, Connie Lau to begin with an overview.
Constance Lau: Thank you, Julie and aloha to everyone. 2018 was a year of great accomplishment for our company from financial to operational, to environmental results. We achieved 22% net income and EPS growth compared to 2017 and excluding tax reform impacts in the fourth quarter of 2017, our 2018 core net income and core EPS each grew a healthy 12% over the prior year. Our return on equity strengthened 160 basis points to 9.5% in 2018 from 7.9% in 2017. Normalizing for the fourth quarter 2017 one-time tax reform adjustments that represents a core ROE improvement of 90 basis points. All of our operating companies contributed to this positive income -- outcome. American Savings Bank was our start performer, growing earnings by 23%, stronger than expected and delivering 33% higher dividends to HEI. American hard work to improve efficiency and deliver disciplined growth in our state's continued healthy economy, helped build on the benefits of tax reform which endured to the benefit of shareholders. Our utility also performed well with utility earnings up 11% over the prior year, reflecting new rates at all three utilities with the resumption of our triennial rate case cycle after six years and the first implementation of the major projects interim recovery mechanism for MPIR for our Schofield project. However, utility earnings were not as strong as anticipated. In addition to one-time expenses that we've provided updates on our quarterly call in the fourth quarter, we wrote-off expenses incurred during the merger time period for evaluating the import of LNG. And in the last two weeks of December, we experienced an outage of sufficient scope that combined with the impacts of severe weather events earlier in the year, resulted in unexpected penalties under the reliability performance incentive mechanism, or PIM, which applied to us for the first time in 2018. The commission has provided opportunities to evaluate how the new PIMs are working, and we are looking into potential modifications after a year of experience with this new mechanism. On the positive side, we are eligible for a reward under the call center performance PIM, due to our strong call center results on Oahu. Due to the release we obtained in this latest rate case cycle, we will continue to see earnings grow in 2019 and anticipate further improvement through our next rate case cycle, which began in December with the filing of our Hawaii Electric Light 2019 test year rate case. Our investments focus on delivering long-term value for our customers, shareholders and community. And we have a strong financial foundation from which to grow going forward. With the continued strength of our bank, the improving earnings at our utility and our confidence in our financial future, yesterday our Board approved a 3.2% increase in our quarterly dividend per share from $0.31 to $0.32. While investing in HEI, our investors a large portion of whom live here in Hawaii are investing in the efforts of our companies to help achieve our state's nation-leading renewable energy, carbon neutral and renewable transportation goals and to address Hawaii's goal to be a leader in addressing climate change. In 2018, our utility continues to transform to provide more customer value by moving aggressively to integrate more renewable resources for Hawaii. Many of our 2018 accomplishments reflect goals and initiatives set forth in our 2015 to 2020 strategic transformation plan, which focused on delivering a cost effective clean energy portfolio, improving customer experience. And offering customers innovative energy solutions, creating a modern grid and technology platform, strengthening stakeholder relationships, working with stakeholders to align regulatory and market models with the transformation of our industry and company, improving company culture and ensuring we have the financial strength to deliver on this transformation and our state's ambitious renewable energy goals. Our utility advanced each of these priorities in 2018. On clean energy, we achieved 27% of the energy sales from renewables, despite the shutdown of the third-party-owned Puna Geothermal plant due to lava flows. We reduced our fossil fuel use by 19% since 2008 and cut our greenhouse gas emissions by 19% since 2010. We accelerated our ability to add even more clean energy and reduce carbon emissions, implementing the state's largest and lowest cost renewable energy procurement program. We've asked the Public Utilities Commission to approve Power Purchase Agreement for seven new solar plus storage projects that will deliver 262 megawatts of solar and over one gigawatt hour of storage. Six of them have -- what have been called mind blowing very low prices that make us eligible for an award under the renewable RFP PIM the commission established last year. These prices are lower than the cost of fossil fuel generation and reflect our innovative new Purchase Power Agreement which gives us flexibility to dispatch energy to meet grid needs and helps reduce uncertainty for independent power producers. If approved and completed on schedule by 2022 these projects will help us reach 50% of energy sales from renewable sources, reduce our fossil fuel use by 52% versus 2008 and cut our greenhouse gas emissions by 50% compared to 2010. On customer experience, we achieved a 17% customer satisfaction improvement since 2014. And we continue to develop new programs to engage with and offer new ways for of customers to participate in the clean energy transformation. As just a few examples, we launched the commission improved community-based renewable energy program to enable those who don't own their rooftop to benefit from renewable energy savings. And earlier this month, we established project footprint to reward customers for taking carbon reducing actions like; moving to paperless billing, adding rooftop solar or buying an electric vehicle. We've made it easier for customers to apply to add rooftop solar with our new online system and faster approval time. I'm proud to say that in 2018 we're again number one in the nation for rooftop solar adoption. More than 35% of single-family homes on Oahu now have private solar. We also laid the foundation for more customers to take advantage of electric vehicles, filing our electrification of transportation strategic roadmap, expanding charging infrastructure to provide drivers more options and advancing the state's electric bus effort. We need a modernized grid, enhanced technology and additional grid scale storage to integrate, store and manage the growing levels of renewable and distributed energy on our system and to offer more and more value to customer. In 2018 we applied for approval of Phase I of our grid modernization effort and for two battery storage projects which are pending approval. Our pole ownership agreement last year with Hawaiin Telcom enables us to become the managing owner of 120,000 utility poles and optimize that asset to benefit customers. It also provides opportunities to add new technologies like 5G as well as earn attachment revenues. We made major strides with respect to stakeholder engagement and the transformation of utility, regulatory and market model. 2018 marked the beginning of our state's formal evaluation of Performance Based Regulation or PBR to ensure alignment of our regulatory framer with our state's policy goals. We have been working together with the commission, the consumer advocate and to many stakeholders on this important effort which has been collaborative and productive and which has maintained gradualism and the financial integrity of the utility as guiding principle. We look forward to continuing to work with the commission and other stakeholders in Phase 2 of this PBR process, which will focus on developing specific performance measures and incentives to achieve our collective goal. We made significant progress on the utility's financial health in 2018 following resumption of triennial rate cases in the first use of the MPIR mechanism. We also advanced several efforts to increase utility operational and maintenance efficiency. We successfully took our new enterprise system live in October consolidating many disparate systems into a common SAP platform and increasing efficiency through automation and standardization. We'll deliver $244 million in customer savings related to this new system over the next 12 years. This enterprise system enables our one company initiative, which is underway and will improve efficiency by standardizing procurement and other processes across our three utility, five island systems, and capture greater economies of scale. We will also reduce costs through other initiatives including facilities consolidation and to review of benefit programs. We also continue to bring a greater sense of cultural cohesion across our five island system with organizational changes to align our teams around our one company initiative. Finally, I'm very proud of the way our team is prepared for and responded to several natural disasters in 2018 including lava flows in Hawaii Island, a hurricane and the first tropical storm to make landfall on Maui in recent memory. Our investments in resilience and disaster preparedness limited damage and outages had enabled us to recover very quickly. Turning to slide four, in addition to record earnings, our bank had a number of significant achievements in 2018. American strengthened its efficiency ratio to 59.4%, a 220 basis point improvement over 2017 and a 550 basis point improvement since 2015. American has done this through its consistent focus on making banking easier for customers, which permits the bank's culture and drives efforts to simplify and automate processes and increase the use of lower-cost ways to deliver high levels of customer service. American has also worked hard to lower its occupancy cost and has already reduced its non-branch footprint by 52%. Looking ahead, American is targeting annual improvement in its efficiency ratio by 100 basis points over the next several years. A key driver of the bank's future efficiency gains is its new campus. We are excited about the opportunities to consolidation of American's non-branch employees into this new campus presents to further improve efficiency, not to mention the other operational and cultural benefits of bringing its employees together. The campus helps further our sustainability goals with hundreds of solar panels helping to power the building and state-of-the-art energy efficiency and smart billing technology. The campus also serves as a platform for community partnerships and revitalization of part of Honolulu's urban core. 2018 was also an important year in Pacific Current's development as well. Following our second acquisition, a set of five solar plus storage projects being built at University of Hawaii campuses, the time was right to establish a management team. We now have a small highly-talented leadership team in place to lead Pacific Current forward, further build out its strategy, optimizing existing assets develop local partnerships and relationships, and identify opportunities to further invest in our state's sustainable future. We will update you in the future as Pacific Current undertakes new projects. As you can see, we've had a very active and productive year. And now, I'll ask Greg to update you on our 2018 financial results and our 2019 highlights. Greg?
Gregory Hazelton: Thanks Connie. Overall, Hawaii's economy remains healthy and continues to grow, although the pace of growth is moderating. Hawaii's tourism industry is significant driver of the state's economy, should strength in 2018 with visitors spending more time in making more purchases in our islands than in the prior year. In 2018, visitor arrivals were up 5.9% and expenditures were up 6.8%. We did see a slight dip in the expenditures at the end of the year with a monthly 3.5% decline in December compared to the December in 2017. Hawaii still maintains one of the nation's lowest unemployment rates. Unemployment in December was 2.5%, significantly below the national rate of 3.9%. Hawaii real estate fundamentals remain strong. While sales volumes declined from the prior year by 7.7% for single family homes and 2.5% for condos, median prices continued to rise with increases on Oahu of 4.6% for single family homes and 3.7% for condos. While the economies rate of expansion has slowed as the business cycle has matured, continued growth is still expected. Turning to our financial results, slide six shows HEI's net income for the full year and fourth quarter. As Connie noted earlier in 2018, we had strong consolidated financial performance with both operating companies contributing to our reported results. Going from left to right on this slide consolidated GAAP net income for the full year was $201.8 million in 2018 relative to $165.3 million for 2017, a 22% increase. As you may remember in the fourth quarter of 2017, we had $14.2 million of adjustments across the consolidated companies due to certain one-time impacts from federal tax reform. After adjusting for these non-core impacts, 2017 core net income was 175 -- $179.5 million. There were no non-core adjustments to our 2018 net income. Full year earnings normalized for one-time from 2017 tax reform impacts grew by $22.3 million or 12%. Net income grew at both the utility and bank combined with a higher holding company and other segment net loss that was primarily driven by lower tax benefits on holding company expenses due to tax reform as well as higher interest in compensation expenses, partially offset by earnings contributions by Pacific Current. Fourth quarter net income was up 7% over the same quarter of last year, reflecting headwinds at the utility experienced late in the year, partially offset by strong Q4 performance at American Savings Bank. Pacific Current which is included in the holding company and other segment contributed positively to net income and operating cash flow modestly offsetting some of the holding company expenses and/or investment in the new enterprise. For 2018 GAAP earnings per share were $1.85 compared to $1.52 in 2017. Excluding one-time federal tax reform impact of $0.13 per share in 2017, core earnings per share were $1.65 as core net income grew by $0.20 per share. Through our holding company structures and stable earnings we are able to grow a bank dividend -- excuse me, because of growing bank dividend and practically no dilution in 2018, net income growth of 22% translated into EPS growth of 22% on a GAAP basis and 12% for each on a core business. As shown on the right side of the slide, HEI's consolidated ROE for 2018 was 9.5% compared to 2017 GAAP ROE of 7.9% and core 2017 ROE of 8.6%. The higher 2018 ROE reflects strong earnings growth at the bank and improved earnings at the utility. Notably management achieved utility ROE improvement despite a lower utility allowed ROE after our latest rate case increases of 9.5% compared to the prior 9.8% allowed. On a core basis, the 50 basis point increase despite -- with despite a loss of 30 basis points in allowed reflects an 80 basis point net improvement. Turning to slide eight, utility net income was $144 million in 2018 compared to 2017 GAAP net income of $120 million and core net income which excludes the one-time impact of tax reform of $129 million. Our utility 2018 net income contributed to EPS of $1.32 per share, $0.01 below our utility guidance range of $1.33 to $1.46. As Connie mentioned one-time events in the fourth quarter including penalties on our reliability PIM impacted net income late in the year and as a result utility income was lower than expected. On an after-tax basis, the most significant net income drivers were $57 million higher net revenues from the resetting of base rates through the rate case cycle and RAM and NPI recovery mechanisms; $5 million from our pool licensing and operating agreements with Hawaii Telcom, resulting in attachment fees including interest and the release of reserves after the settlement of receivables from Hawaii Telcom; $37 million of higher O&M expenses compared to 2017, primarily due to the reset of pension costs for the first time in six years as part of our rate case decisions, the write-off of project cost incurred during the merger period related to smart grid planning and the evaluating LNG imports, higher cost for preventative maintenance on underground circuits to ensure reliability, generating station operation and maintenance and workers' compensation claims, and $2 million higher net income from net tax adjustments, largely related to favorable adjustments made in connection with the filing of the 2017 tax return, which was partially offset by the difference between the reduction to revenue requirement to return expected tax reform benefits to customers, which exceeded the actual 2018 savings realized. Turning to slide nine, American had record earnings for 2018, with a 23% increase in reported net income. Bank net income for the year was $82.5 million, compared to $67 million in the prior year, which included a $1 million net positive impact of tax reform. Excluding the impact of tax reform adjustments, 2017 bank net income was $66 million. As noted on our third quarter call, we expected ASP to come in at the high end of guidance, which the bank exceeded, reporting EPS of $0.76 per share, $0.02 above our guidance range of $0.68 to $0.74 per share. Strong management performance and lower tax rates contributed to a very good year. The most significant after-tax drivers of the increase from 2017 were: $14 million higher net interest income, driven by growth in as well as higher yields on interest-earning assets, resulting from an improved interest rate environment; $3 million higher provision for loan losses, reflecting additional loan loss reserves for the consumer loan portfolio; the year-over-year increase in the provision for loan losses was primarily due to additional loan loss reserves for the consumer loan portfolio, which were partially offset by releases of reserves in the commercial and commercial real estate portfolios, as a result of improved credit quality and the pay-off of a criticized commercial real estate construction loan in the fourth quarter of 2018. $4 million lower non-interest income, primarily due to lower debit card interchange fees, due to new accounting standard that reclassified $4.2 million of debit card expenses in 2018 to non-interest income; and $1 million increase in non-interest expense, primarily due to higher compensation and benefit expenses due to the bank's decision to increase the entry salary for employees as well as annual merit increases, partially offset by the reclassification of the debit card expenses I just described. Turning to slide 10, American's solid profitability in 2018 showed through with both higher return on assets and increased return on equity. We achieved a return on assets of 125 basis points for the fourth quarter of 2018, exceeding our third quarter return on assets of 122 basis points and/or 110 basis point threshold for the year. Our annual average return on assets was 120 basis points for 2018. We manage our capital efficiently to optimize return on average equity, while maintaining a well-capitalized threshold for the bank. Fourth quarter of 2018, we achieved a return on average equity of just over 14%, compared to 13.8% in the linked-quarter, For the full year 2018 achieved 13.5% return on equity, 2.3% above 2017, and comparing favorably to the 2018 of peer medium of 10.3%. On slide 11, American's net interest margin has continued to strengthen and continues to perform well against our high-performing peers and Hawaii-based peers. Net interest margin grew by 3.83% for the full year 2018, compared to 3.69% in 2017 as well as the high end of our guidance range at 3.7% to 3.8%. For the fourth quarter of 2018, net interest margin was 3.95% compared to 3.81% in the linked quarter and 3.68% in the fourth quarter of 2017 with the improvement, primarily attributable to higher yields on interest earning assets and continued low cost deposits. We continue to effectively grow earning assets within our loan and investments portfolios to improve net interest income. Net interest margin in the fourth quarter was supported by lower premium amortization within our investment portfolio. Normalizing our FAS 91 amortization to the previous quarters in 2018, our margin would've been 3.87% for the fourth quarter. Our interest earning asset yields increased over the linked-quarter to 4.22%. We've maintained our low cost fund -- our low funding costs in the rising interest rate environment and continue to benefit from our disciplined approach and focus on relationship banking. Our cost of funds was 28 basis points in the fourth quarter just two basis points above the linked-quarter and well below that of peers. On slide 12, total loans were $4.8 billion as of December 31, up 3.7% annualized from December 31, 2017, with retail loans up $130 million, or 3.9% reflecting Americans disciplined approach towards growing the loan portfolio. Total deposits grew $6.2 billion at December 31, 2018, an increase of $268 million, or 4.6% from December 31, 2017. Net interest income increased 8% over the prior year to $242.7 million driven by growth in interest earning assets and the improved interest rate environment. Fourth quarter 2018 net interest income was also higher at $63.4 million compared to $61.1 million in the linked-quarter and $57 million in the fourth quarter of 2017. Non-interest income for 2018 was $56.1 million compared to $61.6 million in 2017. And fourth quarter 2018 non-interest income was $13.5 million compared to $15.3 million in the linked quarter and $15 million in the fourth quarter of 2017. The lower non-interest income for the year was primarily due to lower debit card interchange fees as a result of a new accounting standard that reclassified $4.2 million of debit card expenses in 2018 from non-interest expense to non-interest income. On slide 13, credit quality remains sound due to prudent risk management and healthy Hawaii economy. The credit quality of our residential portfolio remains very strong and our commercial and commercial real estate portfolios are stable with improving trends. Provision for loan losses reflected additional reserves for the consumer loan portfolio, partially offset by the release of reserves due to improved credit quality in other portfolios. In the fourth quarter, there was a significant payoff of a criticized commercial real estate construction loan which led to a lower than expected provision. Allowance for loan losses of $52 million was 1.08% of outstanding loans at year-end compared to 1.14% in the linked quarter and 1.15% in the prior year. Non-accrual loans as a percentage of total loans receivable held for investment was 0.056% compared to 0.59% at the end of the linked quarter and 0.51% at the end of the year. Our net charge-off ratio increased to 34 basis points for the full year compared to 27 basis points in 2017, driven by the personal unsecured loan portfolio which remains profitable. The net charge-off ratio for the fourth quarter was 37 basis points versus 40 basis points for the linked quarter and 26 basis points for the fourth quarter of the prior year. The improvement over the linked quarter reflects American's adjustments to the parameters of its personal unsecured loan portfolio as it seasons as well as management's strategy to improve its collections process. American's asset and funding mix shown on the left side of slide 14 remains attractive relative to peers. A 100% of our loan portfolio was funded with low cost core deposits versus the aggregate of our peer banks at 72%. The average cost of funds was 25 basis points for the full year 2018, nearly 60 basis points better than the peer median. Turning to slide 15, efficiency improvement has been a key focus of management and the bank has delivered consistent results in strengthening its efficiency ratio. American achieved an efficiency ratio of 59.5% for the fourth quarter of 2018 and 59.4% for the full year, a meaningful improvement about 220 basis points over the prior year and compared to 2015 -- American's 2018 efficiency ratio was 550 basis points better. Efficiency remains a key focus moving forward with the bank management targeting about 100 basis points of efficiency ratio improvement per year over the next three years. Turning now to our expectations for future performance starting with our utility CapEx forecast, utility modestly exceeded its 20 -- its revised 2018 CapEx target investing $411 million for the year. Building on that result, in 2019, we forecast $400 million of CapEx, largely driven by two battery storage projects and Phase 1 of our Grid Modernization initiative, both of which still require commission approval, as well as baseline projects to improve reliability and resilience and help integrate more renewable and distributed energy. In 2020 and 2021, we expect to invest between $400 million and $500 million per year. CapEx in any given year can, of course, vary depending on the timeliness of PUC approvals and permitting, as well as community and other stakeholder engagement processes. Importantly, with improved financial results the Utility is expected to be able to self-fund its forecasted CapEx through our 2021 planning period through retained earnings and its access to the debt capital markets. On slide 17, our financing outlook for 2019 reflects our strengthened financial condition. The bank which has long been self-funding has increased its dividend to HEI as its earnings have improved. In 2018 ASBs dividend to the holding company increased 33% to $50 million. And in 2019, we expect the dividend to increase 20% to $60 million. Utility is able to self-fund its investment needs for capital expenditure programs, while HEI will continue to ensure that the utility has sufficient access to equity capital necessary to meet its capital needs and maintain an investment grade capital structure. While the improved cash distributions from the bank and utility, we do not anticipate the need to issue any external equity in 2019. Outside of other attractive or accretive investment opportunities not currently included in our plan. In addition, the improved outlook for earnings and cash flow has allowed us to grow the HEI dividend, while continuing to manage our capital structure and maintain our investment-grade ratings. Turning to slide 18, we are initiating HEI's 2019 consolidated earnings guidance of $1.85 to $2.05 per share consisting of $1.40 to $1.47 at the utility and $0.79 to $0.85 at the bank. Our 2019 utility guidance assumes no change to our major regulatory recovery mechanisms and no material impacts from performance, incentive, penalty -- from a performance, incentive, penalties or rewards. It includes an approximately $8 million net income impact from continued customer benefit adjustments from the latest Hawaiian Electric and Maui Electric rate case decisions and a schedule detailing those customer benefit adjustments can be found in our -- in the appendix. Utility guidance also reflects management's focused on O&M efficiency with O&M excluding pension and one-time items that impacted 2018 projected to increase 1% or below inflation. Our 2019 bank guidance range reflects American's ongoing focus on efficiency and a disciplined approach to growth with continued strength in net interest margin and low to mid-single-digit earning asset growth. Note the embedded -- embedded in our guidance for ASB is a one-time net positive impact of $0.03 to $0.05 per share in 2019, reflecting the anticipated gain on sale of two facilities, the bank is selling as it relocates to its new campus, offset by cost the bank will incur this year as it moves into its new space. While Pacific Current remains an important and promising part of our overall strategy, we do not expect it to contribute meaningfully to 2019 earnings given the early stage of the company and as manage -- as the management team further develops the platform plans and pursues new project opportunities. I would note that we anticipate no new equity to be issued from HEI from 2019. Also a comment regarding our dividend increase. Our policy dividend payout range is 60% to 65% while maintaining investment grade capital structure and rating. Further dividend growth is subject to the board approval and in consideration with other accretive investment opportunities. I’ll turn it over to Connie for her closing remarks.
Constance Lau: Thanks Greg. We're proud of our accomplishments in 2018 and we're optimistic about our ability to achieve even more going forward. The place based strategy we've pursued at HEI, continues to provide the financial resources needed to invest in the strategic growth of our company and in a sustainable future for Hawaii while also supporting our dividend, which the board increased this quarter by 3.2%. At the utility, we're making strong headway on our transformation initiatives across the company, ensuring affordable, reliable, renewable energy remains a core focus of all of our efforts. We're on track to beat the 2020 goal of 30% of electric sales from renewable sources, and by 2022 we're targeting significant acceleration to 50%. We're focused on delivering O&M savings for customers through implementation of our new enterprise resource system, which enables our one company initiative and other efficiency efforts. And we continue to focus on improving the reliability and resilience of our system and modernizing our grid to enable more renewables, more electric vehicles, and more value for customers. At the bank, we start the year in a very strong financial position and are well-positioned for further earnings growth. American's new campus marks a new stage in its history. Consolidation of its non-branch employees into this innovative space is expected to bring continued efficiency improvement and even more ways to continue making banking easier for customers and building deeper customer relationships. At Pacific Current, our new team will build on the foundation created with our first two projects and lead the company forward through strategy development, asset optimization, relationship building, and pursuit of new opportunities. Across our enterprise, we will continue to build long-term value for our customers, communities, employees and shareholders. Finally, before we get to Q&A, in our release you may have seen that we are nominating three new independent directors to our board at our upcoming annual meeting as part of our plan board succession, all bring extensive experience and track records of success to add to the strength of our talented Board. And with that, we're happy now to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question today will come from Julien Dumoulin-Smith of Bank of America Merrill Lynch. Please go ahead.
Unidentified Analyst: This is Eric on for Julien.
Constance Lau: Hi, Eric.
Gregory Hazelton: Hi, Eric.
Unidentified Analyst: Hi. Good afternoon. So, first question, could you comment on the latest staff proposal from staff on PBR specifically on the five-year sale and the list of currently proposed performance metrics? And what are you anticipate this proposal might be significantly changed?
Constance Lau: Yes, absolutely, Eric and we actually had anticipated that question. And so we've invited Joe Viola, who is the Head of our Regulatory Department, to be with us today. And so, I'll turn it over to Joe.
Joe Viola: Hi. Eric, again this is Joe Viola. The Staff Proposal came out on February 7 continues to be a progression of high quality work product from our commissioned staff. We believe it presents a pretty balanced approach to consideration of our regulatory framework currently. We still kind of that -- we're really kind of still in the middle of PBR process. This is the staff's proposal at the end of Phase I. Now the parties will be providing briefs to comment on those proposals. We'll submit statements of position on March 8. There will be a limited discovery period. The parties will present implied Statements of Position on April 5. And then the commission will issue its decision on Phase 1 after that time. So, we're still a little bit in the middle of the process, a lot of conceptual discussion, I think as commissioned recognized early in the process and we agree with the details on that matter. But right now, very constructive, very professional report and we look forward to providing our comments in March.
Unidentified Analyst: Got it. And do you expect – would you read the current proposal as helping on ROE challenges?
Joe Viola: There certainly a potential for that. Again, as the details will matter. The concepts in there certainly offer an opportunity for that. We're encouraged by the discussion of opportunities potentially to reduce some regulatory lag. Certainly, the opportunities to potentially earn on some of the services we've been traditionally providing. Really, again a bunch of opportunities, I think that could be very constructive to the utility, but we'll have to see what the actual details are for the development Phase II.
Constance Lau: And Eric, I would just add that, I think what's really important about this proposal as Joe said, it's very professionally done well thought through considers all of the different stakeholders in the process and particularly the customer. So, that's really, really important thing.
Unidentified Analyst: Got it. And secondly, would you going on to the specific trends side. Could you talk about the earnings contributions from the Solar Plus Storage projects on a stand-alone basis? And could you further talk about the uptick in HoldCo drag for 2019 relative to 2018? Thanks.
Gregory Hazelton: Hi. Eric, yes, this is Greg Hazelton. So, yes as we noted the Pacific Current was -- did have contribute earnings to the year. It's modest relative overall. And as you know, we've been investing in the platform through new talent establishing the office and other ongoing work that they have currently. So, it's moving forward. It did contribute to net earnings on a Pacific Current basis over $0.01 per share, but again that's all after investments within -- made internally as well as bringing -- as well as brining -- making the investments to grow the platform of bringing the management team online. The other increases at the holding company were primarily interest expenses and after-tax. After-tax, the holding company realizes a loss and based on tax reform that loss falls to the bottom line at a higher level. So, as you noticed in the fourth quarter, we did term out about $100 million of commercial paper and refunded some term debt at a higher interest rate in the current interest rate environment, which contributed to our higher interest costs at the holding company.
Unidentified Analyst: Yes. Just to clarify. I'm referring to the five Solar Plus Storage project announcement to second acquisition for 2019? The expectations around the earnings contribution standalone for those, if you would be able to provide any further color there?
Gregory Hazelton: So, those are in the process of being completed. And I know Scott and his team have been actively managing that on a day-to-day basis. So, I think we have expectations about those -- the timing of bringing those online. So, while they're under construction, most of the costs are being capitalized and you will see earnings contribution as those are brought online. Scott, do you have anything to add?
Scott Valentino: Yes, those projects will come online starting sometime late spring, early summer, though the remainder of the year. The relative contribution for 2019 will be very small if not nil, on a relative basis, just due to the timing. All five projects come online sort of sequentially with the first one, targeting probably early summer.
Unidentified Analyst: Got it, that's helpful. And then, one last question before I see to the queue. Would you be able to discuss potential for a tax free spin of the bank? And any openness to potential sale of telco? And could a forthcoming LEI report change any variables around the co-op effort? Thanks.
Constance Lau: So, Eric, we really don't comment on speculative proposals. But I think as we've always told investors, this management team has always been open to evaluating all proposals that might have the potential to increase shareholder value. So, we've never shied away from those kinds of analysis, but I can't really comment on anything that is speculative.
Unidentified Analyst: Got it, understood. I'll see to the queue. Thank you.
Operator: The next question will come from Paul Patterson of Glenrock Associates. Please go ahead.
Paul Patterson: Hey, how's it going?
Constance Lau: Hi Paul.
Gregory Hazelton: Hi Paul.
Paul Patterson: So, potentially, you said, which I think was $5 million, what is the impact on 2019 and beyond of the reset?
Gregory Hazelton: You mean the reset, so under the rate cases we have recovery now at the current net periodic pension costs that we're incurring. As you know, we've been out for a number of years and actually in the interest rate environment we were, with our old rate cases we were not fully collecting on a cash basis the actual cost, cash costs of those programs and the requirement to contribute to the external trust on a cash basis. So we see that as -- so that has been cured. Relative to go-forward basis, our costs are being collected relative. And on an earnings basis, we really don't see an impact because the rate cases have aligned the costs of those programs with what we're reporting. Is -- does that address your question?
Paul Patterson: I think it does. So, I mean, so you -- okay. So, -- and then on the slide 23 which seems like a new slide for you guys maybe not maybe I missed it before. Is that what you're -- what exactly does that represent?
Gregory Hazelton: Okay. Those are what we've talked about in terms of the customer benefit adjustments. And maybe I'll -- look those were concessions that were made to settle the recent rate cases that we've been through that had now a scheduled reduction over time, but I'll have Tayne to speak to that directly.
Tayne Sekimura: Yes. So, Paul, this is Tayne on the line. As Greg mentioned, as part of our revenue requirements and what we agreed to in the rate cases as they were being worked on for Hawaiian Electric and Maui Electric these are the customer benefit adjustments. And on this particular slide we did schedule it out. You will notice that over time, it's reduced. And what we will do as the management team is we're going to manage through these amounts and attempt to find offsets to cope with these lower revenues that we got to the rate case.
Paul Patterson: Okay, great.
Gregory Hazelton: We wanted to provide clarity around these challenges. As you think about 2019 and our ability to improve our achieved ROE recognizing that we do have this -- that we will have to find ways to offset this to capture those. But I think as importantly as you look out over time, you see that these are reduced over time and will naturally then allow us to achieve better results all things being equal.
Paul Patterson: Okay. And then following up on Eric's PBR questions, it seemed to me that there were two things that sort of caught my eye. It is to what Eric brought up, which is the idea of having Day one savings. Could you elaborate a little bit more on what the thought process is with that or what that actually might entail with Day one savings? And the second term that comes up is financial integrity of the utility. Do they -- have you gotten a sense when you speak with them what that actually stands for?
Joe Viola: Hi, this is Joe Viola. First question, the Day one savings in the commission staff report that's where that term exists. Several parties in the proceeding had proposed some type of adjustment to the multiyear rate plan and the consumer advocate and I believe maybe Blue Planet in addition proposed a kind of immediate dividend they call it a customer dividend. Really, what that would represent is a revenue requirement reduction from the start of any new PBR plan to represent immediate savings to customers. The question earlier was on the customer benefit. It's similar to that. I think the commission staff report describes that as essentially a stretch goal to ensure productivity improvements above what might be represented otherwise by our productivity factor in the multiyear rate case revenue plan requirement. So, that's a proposal that's in the staff report and the parties including the utilities will be commenting on that in a briefing. As far as the second question on the financial integrity, we were certainly appreciative of the commission stands recognition of the importance of utility's financial integrity. That's been the discussion in the docket since the beginning. And I think what that represents is acknowledgment that actually not only did we continue to financial integrity and the help of utility is very important to achieving the state energy goals. It's important to a lot of our third-party power providers. They rely on our financial integrity our credit rating to finance their projects. So, it's an express recognition of that. We're certainly very appreciative of the fact that, that is a recognition and has been defined as one of the guiding -- one of the many guiding principles to development of PBR in Phase 2.
Paul Patterson: Okay. But I guess when we're looking at these two items, it seems that one -- I guess when we're talking about the day one savings. It sounds like there could be a situation where -- do you think there is potential risk of how that sort of might actually impact earnings at such a -- if that was sort of the plan? Do you follow what I am saying?
Joe Viola: There is -- well to give a simple answer that there's always risk. But that's just one factor that commission staff -- there are other factors. So we will have to see how this plays out. We mentioned before the details will matter. Is it day one savings that customer dividend proposal on the table. But what's also in the commission staff report are some elements of change the regulatory mechanisms that could reduce regulatory lag from us, could also provide other opportunities for us to increase revenue opportunities. So, it’s a package proposal as we considered in context and we will be briefing that.
Paul Patterson: Okay. And then just on the premium amortization that you guys mentioned for -- at the bank. If I heard that correctly that would've gotten you -- that would have lowered the net interest margin to 3.87, did I hear that correctly?
Richard Wacker: Yes, this is Rich. That's correct.
Paul Patterson: Okay. And going forward, what should we think about that?
Richard Wacker: We think that quarter was lower than it would be on a run rate basis. We think it'll -- the amortization will bounce back up and we don't know how much quarter-to-quarter, but on average for the year, it would be comparable to what we saw in 2018.
Paul Patterson: Okay. And then just finally on the earning guidance slide, you called out the onetime $0.03 to $0.05 associated with the bank with the moving to the campus sale. But is that the only one time we should be thinking about in new guidance?
Gregory Hazelton: Yes, there's -- we have no other -- we've scheduled out the customer benefit adjustments and the headwinds that are there that we’ve provided full detail. No other known onetime adjustments included in our forecast at this time.
Paul Patterson: Okay. Well, thanks so much. Enjoy, I hear you guys had some snow. That was -- sounds pretty amazing, but -- good talking to you. And have a great weekend.
Constance Lau: Thanks Paul.
Operator: Our next question will come from Charles Fishman of Morningstar Research. Please go ahead.
Charles Fishman: And I don’t thank you guys. I know what snow is, it's snowing where I am right now.
Constance Lau: That’s true Charles.
Charles Fishman: There is a footnote on your CapEx slide 16. Those projects grid mod plus the two big battery projects are waiting for commission approval. When do you think that will occur? What's the meeting date or what exactly was pending?
Gregory Hazelton: Yes. So, on the grid modernization, I think the procedural steps of the docket have been completed and now it's under commission review. We expect we'd anticipate something pretty fairly relatively soon. On the battery storage applications, there have been -- I think we're relatively close to completing a procedural process in that case as well, filing our current reply statements of position. So, those will soon be ready for commission decision-making.
Charles Fishman: Okay. So, in the third quarter you had a slide and that slide has changed a little bit. You were showing CapEx for 2019 of $400 million to $500 million and now you're at $400 million. Is that the timing of those two battery projects?
Joe Viola: Yes. We progressed our CapEx planning on a -- and it gets more granular. It gets down to approvals, scheduling, permits and pretty detailed as well as prioritization. I think you will see some movement in between years and periods. The way we've been thinking about it is the $400 million on a -- the $400 million level at a baseline is consistent with our grid mod power supply and our long-term planning in which you see that kind of in the green level. And we have potential upside to that based upon certain major projects and how those are scheduled and sequenced. You may see at times that if a project gets delayed and pushed into a different period or year as it crosses a year or so forth, but our -- we have a pretty consistent to achieve the requirements that we need to transform our grid to make the investments needed to integrate all of the new renewable. There is a lot of base -- there is a lot of consistent expenditures that needs to be put through that. Of course, all of those expenditures are subject to commission approval prior to our initiation of any other major projects included in the forecast. So, again, over time you may see projects shift slightly. New project added as they become ready for filing and approval. But generally, we're comfortable with our level and level of CapEx spend and the potential for upside to that -- to the $400 million level over time.
Charles Fishman: Okay. On the dividend guidance since this is a new thing, leverage guide. Just to make sure I understand how the Board will look at it, Connie or Greg. Do you think like next year at this time, let's say, the end of the year beginning of 2020, the Board will look at what your projected core net income is or core EPS is for 2020 and use a payout ratio of 60% to 65%. Is that the process that you envision?
Constance Lau: Yes, Charles. And also, of course, they'll look at the results for the year for this 2019 year. And they'll also be looking at in the forecast of course will be views on what potential investments we might be making, including like in Pacific Current going forward. So, all of that will be the factors that they will consider at the time.
Gregory Hazelton: We do -- as management; we do view a dividend as a core part of our value proposition to our shareholders to ensure competitive access to capital overtime. So we take it very seriously. And as Connie said, we evaluated as we achieve performance. Fortunately we have the strength of the bank, dividend and cash flow, and strong performance as well as the improving profile of the utility that can underwrite a stable dividend over time.
Charles Fishman: Okay. Thank you. That’s it.
Gregory Hazelton: Thanks Charles.
Operator: Our next question will come from Jonathan Reeder of Wells Fargo. Please go ahead.
Jonathan Garrett: So, just following quickly on Charles' CapEx question. If the battery storage approvals are delayed or even denied, do you have the opportunity, Greg to backfill that spend such that CapEx doesn't dip below the $400 million in 2019?
Gregory Hazelton: We have -- we do have abilities to shift and reprioritize and increase levels modestly over time. But let me hand that over to Tayne because she's very close to the capital planning process.
Tayne Sekimura: Yes, so other things we're looking at -- we can look at is to look at our baseline CapEx and these are the types of projects we have in there that will contribute to our reliability and resilience of our system. So, we have that ability to look at spend there and what can be done, so other levers to fill that void if we have changes in our CapEx from those major projects.
Jonathan Garrett: Okay. So Tayne, it sounds like we should kind of think of the $400 million as really the floor then or pretty close to it?
Tayne Sekimura: It's pretty close to roughly the $400 million range.
Gregory Hazelton: There's a lot of planning in projects that are in queue that may not have been ready relative to 2019 as they manage to prioritization and the ability to manage things. If something is pushed, they certainly have other projects that can be looked at. Again it's also relative to demands for the system, increasing reliability and doing the right things. So, we're comfortable with the $400 million level. If something happened late in the process, we may not be able to shift gears and bring in a new project or -- and accelerate things late in the year if something unexpected were to happen that delayed one of our key major projects. But generally we're comfortable at the $400 million level.
Jonathan Garrett: Okay, great. And Greg, I wasn't entirely clear on I think it was maybe the first question about the HoldCo drag increasing like $0.07 in 2019 versus 2018. Is that exclusively to some financing some higher interest expense that you did at the end of this year, or at the end of 2018, I'm sorry?
Gregory Hazelton: Yes. We did -- as you saw, we issued another -- we issued $100 million of debt in the fourth quarter, which is incremental, which also was repriced at higher levels versus our commercial paper facility. So, we see -- and we see some natural growth in our overall balance sheet year-over-year as the balance sheet of the consolidated company increases as well. And so -- and then the after-tax expense now, we don't see the benefit of higher tax rate relative to losses. So, you see that increase there as well. So it's a combination -- and then it's a combination of some natural growth in compensation and other elements at the holding company, but nothing significantly above the trend or above inflation in and of itself.
Jonathan Garrett: Okay, great. Thanks.
Operator: Our next question will come from Andrew Levi of ExodusPoint. Please go ahead.
Gregory Hazelton: Andy? Are you there?
Operator: Mr. Levi, your line is open.
Andrew Levi: Sorry, sorry, I was muted.
Gregory Hazelton: That's unusual.
Andrew Levi: Very good. Touché. How you guys doing? I didn’t realize it snowed there, Oh! My God. It snowed in the mountains or like--?
Constance Lau: Yes, yes, up in the tops of the volcano.
Andrew Levi: That happens -- does that happen every year?
Constance Lau: No, not every year.
Andrew Levi: Okay. Well, anyway, Paul asked all my questions, but I do actually have one last. So, just -- and someone else had brought it up. Just on the bank and I know we've discussed this before, but can we just talk about the tax implications of either spinning or selling the bank and also the cash implications of the company as well if you don't mind, if you can't. But if you can, that will be great.
Gregory Hazelton: So, Andy we do -- as we've discussed previously, this is analysis we do regularly, we talk with our Board. We look at all potential alternatives and how to increase shareholder value on a sustained basis overtime. Obviously, the -- you have a view of the value of the bank, but if you put a current multiple to its earnings, it's over $1 billion or $1.2 billion area. Our tax basis in the bank is relatively -- our tax basis in the bank is relatively low. I don't know that we provided that number publicly, but it would be significantly inefficient from a tax perspective to do an outright sale of the bank. And so we don't see -- as you do that -- and you know a separation of the bank from the consolidated company, we would lose the benefits of an investment-grade and high performing bank with a growing dividend on a consolidated basis which adds materially to the value of the overall consolidated company and the lack of the need to go for external equity on a regular basis as you see with many of our peers, so it helps drive earnings growth, material part of our credit quality and strength, and the cash flow of HEI. So, we see meaningful value there. And as you separate, there are other implications outside of tax consequences as we separate and have to now look at a recapitalization of the remaining company and our ability to fund ourselves as efficiently as we do on a consolidated basis. So, it's also -- the consolidated enterprise has also helped -- and the strength of that enterprise has also helped us pursue new investment opportunities including the creation of Pacific Current. So, there's a lot of -- we view it as significant and adds to our ability to execute and capture strategic value as well. There's not been a point in time since I've been in this seat and as we've look backed overtime where separation makes sense or would increase shareholder value meaningfully on a sustained basis outside of what we considered during the merger process.
Andrew Levi: Got it. that was really said Greg. Have a great weekend.
Gregory Hazelton: Thanks Andy.
Constance Lau: Thanks Andy.
Operator: [Operator Instructions] The next question is a follow-up from Julien Dumoulin-Smith from Bank of America Merrill Lynch. Please go ahead.
Unidentified Analyst: Hi. This is Eric on again. I just have two short follow-up questions. One, could you discuss the drivers behind three new board appointments? And specifically could you confirm if this is a replacement or an expansion of the current Board?
Constance Lau: So, Eric, our Nominating and Corporate Governance Committee has actually been focusing on both board and management succession since coming out of the NextEra merger. And so, we have been, on a continual basis, been sourcing and interviewing potential directors. And so, we have now settled on the three whose names have been in our release. We're really excited about the kinds of talent and knowledge and skill sets that each one of them bring to the mix of the directors on our board. And so, I'm happy to go through each one of them. But I think if you look at the folks that we've selected, it's a wonderful combination of people who have policy experience in the whole energy area, looking forward towards how does this entire industry prepare for things like climate change, also in the area of sustainability, which, as you know, with the start of our new Pacific Current strategy, we've been focused on that as well. Particularly here in Hawaii, it isn't only about greening the electric sector. We've been highlighted as one of the states that actually has the opportunity to help green another sector and of course that's transportation. And there are very interesting nexuses between energy and ag and water and a number of areas that could be really important to helping our overall state achieve its goals. And then finally, we always, and I think almost all companies, look for great financial expertise. And so, that's included in this round of directors. And we have not yet -- we'll be seeing more of that as we get closer to actually issuing our proxy, but we did want to signal that these three will be joining us and as well as the fact that Admiral Tom Fargo will also be also appointed as the Vice Chair of our Board. And finally, the changeover as a part of the normal Board succession to a new Non-Gov Chair.
Unidentified Analyst: Got it. And just to confirm this is an expansion of the Board, right, from nine to 12 directors?
Constance Lau: We have not actually disclosed what the specific number will be on the Board as of yet.
Unidentified Analyst: Okay, got it. And as a final question on my end are you still expecting to file HECO rate case with the triennial cycle in June 2019?
Constance Lau: Yes, we are.
Unidentified Analyst: Got it, thank you. Have a good weekend.
Constance Lau: Eric that will actually be July 1.
Unidentified Analyst: Got it, July 1. Got it. Appreciate it.
Gregory Hazelton: Thanks Eric.
Operator: Our next question is a follow-up from Charles Fishman of Morningstar Research. Please go ahead.
Charles Fishman: Real quick. Is Scott still the only full-time employee on Pacific Current?
Gregory Hazelton: No, no.
Constance Lau: We can't tell you.
Gregory Hazelton: No. We've actually brought on two additional employees, so now Pacific Current is a team of three. And the -- one is more focused on Strategy and Business Development and the other is more Asset Management and Business Development.
Charles Fishman: I read that as a positive sign.
Gregory Hazelton: Yes. Very talented team and qualified in their taking over asset management. The engagement is pretty active. It's very promising.
Constance Lau: You can hear in Greg's voice that he and the holding company staff are really happy that Scott and his team has been built up and could take Pacific Current forward.
Gregory Hazelton: Absolutely.
Charles Fishman: Got it, okay. Thank you very much. Have a good weekend.
Gregory Hazelton: Yes, thanks Chuck.
Constance Lau: Thanks.
Operator: Ladies and gentlemen, this will conclude our question-and-answer session. At this time, I'd like to turn the conference back over to Julie Smolinski for any closing remarks.
Julie Smolinski: Thank you everyone for your questions and for joining us today. We hope you have an excellent weekend.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.